Operator: Good day and welcome to the Synaptics Fourth Quarter and Fiscal 2016 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Jennifer Jarman. Please go ahead, Ma'am.
Jennifer Jarman - Director, The Blueshirt Group LLC: Thank you, Robbie. Good afternoon and thank you for joining us today on Synaptics fourth quarter and fiscal 2016 conference call. This call is also being broadcast live over the Web and can be accessed from the Investor Relations section of the company's website at synaptics.com. With me on today's call are Rick Bergman, President and CEO; and Wajid Ali, CFO. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, change in contingent consideration and certain non-cash or non-recurring items. Please refer to the press release issued after market close today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections relating to our financial conditions, results of operations, plans, objectives, future performance and business. Although Synaptics believes our estimates and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's current and periodic reports filed with the SEC, including the Synaptics Form 10-K for the fiscal year ended June 27, 2015, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. Synaptics expressly disclaims any obligation to update this forward-looking information. With that, I'll now turn the call over to Rick Bergman. Rick?
Richard A. Bergman - President, Chief Executive Officer & Director: Thanks, Jennifer, and I'd like to welcome everyone to today's call. Revenue for fiscal 2016 was approximately $1.7 billion, a slight decrease from last year, reflecting a slowdown in the high end of the smartphone market that dramatically impacted our discrete display driver business and offset growth from our biometrics and display integration solutions. Non-GAAP net income for the year was $180.5 million or $4.76 per diluted share. We bolstered our commitment to generating shareholder value during the year by purchasing a substantial amount of stock on the order of $241 million or 3.6 million shares, which reflects our underlying confidence in Synaptics' prospects for long-term success. Our Q4 results came in roughly as expected with strong performance in TDDI. As we indicated last quarter, we took actions in Q4 to better align our operating expenses with our annual revenue outcome. These targeted moves have reduced our overall head count, but will allow us to accelerate our strategic investments with particular focus on China. This region continues to be a bright spot, led by increasing momentum of our fingerprint authentication solutions in the continued expansion of the ecosystem, along with the adoption of TDDI by Chinese LCMs. As we close out the fiscal year, it's a good opportunity to re-visit the market landscape for our core growth pillars. The smart phone market continues to experience slowing growth at the high end. However, we see several exciting opportunities for growth within the broader smartphone market over the next few years with the expansion of OLED displays, a clear inflection point for TDDI solutions and the acceleration of the attach rate for fingerprint authentication into mid-range and low-end phones. Now let's walk through how we are addressing each of these growth areas. Starting with TDDI, as we anticipated, integrated touch and display driver solutions are shaping up to be a very big market. Synaptics is the industry pioneer and leader in TDDI, while other players are figuring out their TDDI strategy, the second generation family of products that we developed in conjunction with our acquired display driver expertise is now in mass production. Within the global smartphone market, Android phones that utilize LCD displays represent about one billion units annually. Of this amount, we expect that exiting the calendar year, TDDI solutions will account for about 10% of the units shipped. With Synaptics products commanding the majority of share. As we look at the growth trajectory over the next few years, we continue to expect that more than half of Android LCD smartphone units will be based on TDDI by the end of calendar 2019. We're staying far ahead of the curve and are now developing our next generation of TDDI products leveraging our position as the first mover and technology leader in implementing this important technology. While we expect TDDI will continue to be a substantial ongoing growth opportunity for smartphone customers wanting to incorporate the thinnest and brightest LCD panels into their mainstream design, we've also been anticipating the expanding market for higher-end displays based on OLED technology. There's growing interest among our smartphone customers to adopt OLED displays in their flagship products. As an industry-leading smart display solutions provider, we work closely with our key LCM and OEM partners to shape the next generation technology. We have been in deep development of our first OLED display IC, and remain on track to begin sampling to our partner LCMs by the end of this calendar year. With our multi-year experience in providing leading-edge touch solutions to the OLED market, plus the development of our cutting-edge OLED DDIC, we expect to be very well-positioned to capitalize on the OLED opportunity as it ramps into broader volumes in 12 months to 18 months. As with TDDI, the expansion in OLED is a logical extension for Synaptics, based on our demonstrated smart display technology leadership, and combined, we believe that TDDI and OLED represent significant growth engines for Synaptics in the smartphone market for many years to come. Turning to fingerprint, by now, you are keenly aware of all the work we have done to expand the product family, features, and ecosystem to prime ourselves for the growing penetration of our solutions on a global basis. As we laid out last quarter, we have a significant number of new wins that are now in production, and we expect to see further announcements as we move through the second half of the calendar year. We believe that we have a distinct architectural advantages with our fingerprint authentication solutions that will benefit Synaptics over time. Specifically, since our solution uses a discrete sensor, we believe our technology provides a better road map towards shrinking solutions in order to be able to provide both small and large sensors, and to ultimately go under glass and into the display. Now that we've covered our view on overall markets, let's drill down into some of the specifics around Q4. Synaptics TouchView TDDI solutions combine our industry-leading touch controller IP and systems level expertise with our leading-edge display driver technology into a single device. TouchView delivers lower overall system costs, simplifies the supply chain, and enables thinner devices, brighter displays and borderless designs. Our second-generation TouchView TDDI portfolio features four different products covering resolutions from HD to Full HD to WQHD. We are extremely pleased to report significant traction in customer adoption and design win activity for our TouchView solutions, which highlights our market leadership and first-to-market advantage. This momentum is highlighted by our second-generation TDDI solutions now shipping in mass production in the latest LG electronic smartphones, and we look forward to showcasing additional designs from other global smartphone OEMs in the very near future. Turning to new products on the touch controller side, we announced two new feature-rich ClearPad touch screen controllers to address the high volume, value-priced in mid-tier smartphone, tablet and convertible PC markets. These discrete touch screen controller solutions reduce overall costs for OEMs and ODMs while retaining many of the key features of Synaptics' flagship portfolio, including moisture performance, low power wake-up gestures, and excellent touch performance while wearing gloves. They are ideal solutions for our customers looking to incorporate high-quality and feature-rich touch screens on their value-priced products, enabling them to offer consistent touch screen capabilities across their entire lineup. We also announced availability of a new touch screen controller solution for higher end phones that require premium touch performance and longer battery life, but do not need flagship features such as ClearForce or side touch. This solution delivers many innovative features, including multi-finger touch performance with moisture on the screen, low power wake-up gestures, support for one millimeter passive pen, thick glove touch support and FaceDetect Plus, which eliminates the need for a proximity sensor. It also integrates Synaptics high-performance analog touch-sensing circuitry to address noise generated by displays that feature Full HD, WQHD, or 4K resolutions. Now moving to our biometrics solutions, we continue to maintain our leading market share with our largest fingerprint customers in the smartphone and PC markets, including Samsung and Lenovo. And last quarter, we shared our success in securing over 20 design-ins, including several new customers in Asia. We are very pleased to see these smartphones begin to roll out in mass production. During the quarter, we announced new fingerprint sensor design wins with ASUS in Taiwan and TCL in China. ASUS launched award-winning flagship smartphones featuring our one-touch fingerprint sensors. TCL launched smartphones with its Vodafone partner in the UK, and it's launching its Alcatel brand of smartphones in the U.S. in August. Other TCL phones are slated soon for global markets. Our module maker partners and IHVs in China are very busy fulfilling mass production purchase orders to service all of the Tier 1 smartphone OEMs in the region, and we expect a rollout of new smartphones featuring our fingerprint sensors to gain momentum through the second half of the calendar year. Key to our ability to continue these design wins is that Synaptics offers unmatched security features and a full slate of fingerprint ID solutions, with form factors that can be designed into front buttons, rear panels, and edges of devices. We also continue to invest heavily in next-generation fingerprint technologies, addressing button-free industrial designs, including significant R&D resources into developing solutions that work under the cover glass and in the display. We expect our first under-glass solutions to come to market in the first half of calendar 2017. Working closely with our key customers, we are also actively demonstrating and integrating our next-generation fingerprint sensors into the displays of smartphones. Because of our unique, patented sensor architecture that separates the sensing array from control IC, Synaptics is leading this transition from discrete fingerprint products to those that will be integrated into the displays of smartphones and other consumer devices. With the rapid adoption of mobile payments and online purchasing, verifying the identity of the person doing the transaction is critical in combating fraud. Synaptics is the only fingerprint supplier that offers a complete end-to-end security system with our products. Our SentryPoint security suite encompasses an array of proprietary features, including advanced cryptography, secure communications between the fingerprint system and host device, matching sensor architecture and market-leading anti-spoof technologies. These award-winning and highly secure authentication features are unmatched in the industry and are now being integrated in our customers' smartphones. Another introduction is our new ultra-small form factor USB module that enables fingerprint authentication on any notebook PC. Synaptics USB dongle is a turnkey solution for OEMs, ODMs, and private labels, enabling them to offer their customers an easy-to-use and inexpensive fingerprint alternative for PCs lacking integrated biometric sensors. The dongle is fully housed, ready-to-use fingerprint module, small enough to remain unobtrusively installed in any notebook USB port. Following a simple user enrollment procedure, secure authentication is completed with a single touch of a finger, enabling swift PC access and the full use of Windows Hello and Microsoft Passport. This low-cost turnkey solution can easily be bundled by OEMs are sold separately. Wrapping up biometrics, on the automotive front, we also announced broad availability of our fingerprint sensor evaluation kit, specifically targeted at the automotive industry. Our Automotive EVK enables designers and engineers to rapidly integrate fingerprint sensors into prototypes and demo systems inside the vehicle or in the lab. Synaptics' fingerprint sensors not only provide biometrics with advanced encryption capability, but can also recognize user input gestures, including swipes, taps and long presses. This combination of biometrics and user input capabilities makes them ideal for automotive applications such as driver-based personalization, in-car payments and services, and interaction with in-vehicle infotainment systems and instrument clusters where minimal physical clutter, intuitiveness of use and minimization of driver distractions are key requirements. While on the topic of automotive, we continue to invest R&D resources with new auto-specific display drivers, touch controllers and integrated solutions that support high-resolution instrument cluster displays in high-performance center stack for touchscreens. On the notebook side, we are at the forefront of a new-generation of TouchPad and SecurePad technologies and had the opportunity to showcase our solutions at Computex to a very receptive customer base. A lot of our exciting design activity is already underway, leveraging our latest biometric authentication capabilities to address a rapidly expanding ecosystems, such as online payments and Windows 10 adoption. Some new products shipping during the quarter featuring Synaptics TouchPad include the HP Spectre family, the Lenovo Yoga family, and the Dell 3000, 5000, and 7000 series of notebooks. Before I turn the call over to Wajid, I'd like to mention that as with many others in our industry, given the dynamic nature of our markets and expansion of our business over the last few years into multiple facets of those markets, it's become more and more difficult to provide guidance on an annual basis with an acceptable level of precision. Therefore, as you've seen in our press release, we are only providing only directional annual guidance for fiscal 2017. As a company, we have created a strong platform for growth with a business model targeting around 15% annual growth. As we've said in the past, some years we may exceed that goal and other years we may fall short. Much of that growth will come on in an organic basis and periodically it will be further fueled by acquisitions as we continue to proactively pursue opportunities under the human interface umbrella. In the interim, we are coming off a year in which we saw a material reduction in customer-specific revenue at the high-end of the smartphone market. And prudence dictates that we prepare for further declines in our discrete, display driver business in the current year due to lower end customer demand for high-end solutions. However, our investments are starting to pay off, which should help offset this delta and allow revenue to remain relatively flat in fiscal 2017 based on large expected gains from TDDI and fingerprint. Additionally, as we look beyond fiscal 2017, we believe our development activities position us for significant opportunities with new and expanding growth pillars, including OLED technology as well as automotive, which should help put us back on track towards our long-term growth target. Fundamentally, our long-term business prospects remain sound. We remain unwavering in our focus on growth and are confident that we are channeling our efforts into the right areas and making the right investments to maintain our technology leadership and strengthen the foundation for the company's long-term success. As we close out the year, I'd like to thank our employees around the world for their resolute commitment and support. With that, I'll now turn it over to Wajid.
Wajid Ali - Chief Financial Officer & Senior Vice President: Thanks, Rick. Revenue for the June quarter was $323.9 million, slightly above the midpoint of our guidance range. While revenue for fiscal 2016 was $1.67 billion, down 2%, compared to last fiscal year. Sequentially, June quarter revenue declined 20% and year-over-year was down 32%, primarily reflecting lower-end customer demand that impacted our display driver solutions along with a mix shift towards lower end display driver products. During the quarter, we had three customers above the 10% threshold. Revenue mix from mobile and PC products was approximately 88% and 12%, respectively. Revenue from mobile products was down 33%, compared with the year-ago quarter and down 19% sequentially. Revenue from PC products was down 27% year-over-year and down 20% sequentially. I will now provide a high-level review of certain of our June quarter and fiscal 2016 GAAP results and will follow with the corresponding non-GAAP results. For the June quarter, our GAAP gross margin was 33.4%, which includes $12.8 million of intangible asset amortization and $500,000 of share-based compensation costs. GAAP operating expenses in the June quarter were $133.1 million, which includes share-based compensation of $15.4 million; restructuring costs of $6.7 million, consisting primarily of severance costs; a charge for impairment of intangible assets of $6.7 million, consisting primarily of ThinTouch intangible assets; and acquisition-related costs of $4.6 million, consisting of intangibles amortization. Our GAAP tax rate was 4.5% for fiscal 2016. The decline in our GAAP tax rate is primarily related to changes in our current year geographic revenue and profit mix and incremental research credits. In the June quarter, we had a GAAP net loss of $7.1 million, or $0.19 per diluted share. And for fiscal 2016, GAAP net income was $72.2 million or $1.91 per diluted share. Now turning to certain of our June quarter and fiscal 2016 non-GAAP results. Our June quarter non-GAAP gross margin of 37.5% was slightly below the midpoint of our guidance range and primarily reflects overall product mix, including the dynamics in our display driver products that I mentioned earlier. June quarter non-GAAP operating expenses were in line with our expectations at $99.7 million, down $3.3 million from the preceding quarter. For fiscal 2016, our non-GAAP tax rate was 17%. Non-GAAP net income for the June quarter was $17.3 million or $0.46 per diluted share, a 72% decline year-over-year as compared with $61.2 million or $1.57 per diluted share in the fourth quarter of fiscal 2015. Non-GAAP net income for fiscal 2016 was $180.5 million or $4.76 per diluted share, down 18% from last fiscal year. Turning to our balance sheet. We ended the quarter with $352 million of cash, a decrease of $54 million from the preceding quarter. Cash flow from operations was $109 million for the quarter and $252 million for the year. Employee participation in our equity incentive programs, including the associated cash tax benefits, provided net cash of $28 million for the year. Further, we used $116 million during the June quarter to repurchase approximately 5% of our shares outstanding, bringing total share repurchases during the year to $3.6 million or 9.6% of our beginning-of-year shares outstanding. Our commitment to delivering shareholder value remains a key priority for Synaptics. And with the approval by our board of an additional $100 million for our share repurchase program, we now have $233 million remaining in our authorization for stock repurchases available through July 2018. Receivables at the end of June were $253 million and DSOs were 70 days, while inventories were $146 million and inventory turns were 5.6. Capital expenditures for the year were $29 million and depreciation was $31 million. Now I will make a few comments regarding our quarterly outlook. Based on our backlog of approximately $183 million, entering the typically backend-loaded September quarter, subsequent bookings, customer forecasts, product sell-in and sell-through timing patterns as well as expected product mix, we anticipate revenue for the September quarter to be in the range of $350 million to $390 million. We expect the revenue mix from mobile and PC products to be similar to our June quarter. This guidance reflects the lower demand profile in our display driver business, coupled with a greater mix of low-end display driver products and the lingering impact of higher end display driver products within the supply chain, which we believe will clear during the current quarter. I will now provide GAAP outlook data for our September quarter and will follow with non-GAAP outlook data. We anticipate the stock-based compensation charge in the first quarter to be in the range of $15.5 million to $16 million. GAAP expenses in the September quarter will include additional restructuring charges in the range of $4.2 million to $4.8 million, consisting primarily of severance costs. Further, we anticipate a space consolidation restructuring charge of $3 million to $4 million later in fiscal 2017, as we consolidate lease office space to accommodate our smaller work force. In addition, September quarter GAAP expenses will include non-cash charges of approximately $17 million related to intangible amortization of which approximately $12 million will be reflected in cost of sales. I will now provide non-GAAP outlook data for our September quarter. Taking into account our overall revenue mix, we expect non-GAAP gross margin in the September quarter to remain between 37% to 38%. We expect non-GAAP operating expenses in the September quarter to decline sequentially to approximately $94 million to $96 million, reflecting savings of approximately $4 million from our recent restructuring activities. Further, we anticipate the annualized savings from all restructuring activities taken in the June quarter and to be taken in fiscal 2017 to be approximately $24 million. We anticipate our non-GAAP long-term cash-based tax rate for Q1 of fiscal 2017 to be in the range of 16% to 18%. Non-GAAP net income per diluted share for the September quarter is anticipated to be in the range of $0.85 to $1.15 per share. In closing, despite the anticipated declines in our display driver business based on lower overall end customer demand and a shift towards lower-end solutions, we're seeing double-digit growth across a broad array of our products. In light of that, we are expecting flat annual revenue year-over-year. As we indicated on our last call, we have taken actions to size our operating expenses to be consistent with current revenue levels. While these actions involve very difficult decisions, we are confident they have established a solid operating expense foundation for fiscal 2017 and future periods that will allow us to accelerate reinvestment as appropriate. We anticipate quarterly revenue will improve over the course of fiscal 2017. And as a result of our lower OpEx base, expect to deliver improved operating leverage in the business. With that, we will now turn the call over to the operator to start the Q&A session. Operator?
Operator: And we'll take our first question from Rajvindra Gill with Needham & Co. Please go ahead.
Rajvindra S. Gill - Needham & Company, LLC: Yeah. Thanks for taking my questions. I appreciate it. Wajid, on the fiscal year 2017 flat annual revenue number, can you talk a little bit about, what are some of the puts and takes in that guidance in a bit more detail? And how – in terms of stress-testing that, the annual guidance number, what did you include in those – what were some of those factors to get to a fiscal year flat number? Because as you know, in the past, there's always a risk to annual guidance when you give those numbers.
Wajid Ali - Chief Financial Officer & Senior Vice President: Okay. Yeah. Thanks, Rajvi. So, a couple of things. One of the things we mentioned on our prepared remarks is that we're providing directional guidance, simply because of some of the risk factors that you mentioned. An acceptable level of precision can sometimes be difficult in this type of market. Having said that, at a market level, we're expecting the smartphone market to have a low- to mid-single-digit growth over our fiscal year. At a product level, we're expecting to see double-digit growth in each one of our key product line areas, whether that be our TDDI business or our fingerprint business, as well as seeing some strong stabilization in our PC business. Some of that is from design wins that we've already, achieved and some of that is from design wins that we are working on, and that we're feeling confident about. The one offset that we spoke about in our prepared remarks that's hampering some of that underlying growth is what we're seeing in our display driver product line, where we're seeing both lower end customer demand as well as a mix shift towards display driver products that are more focused on lower end solutions, and therefore having lower ASPs. So we've accounted for all of those things and have tried to be prudent and balanced in some of the success that we're seeing across our market spaces. One of the things that's really important for us is how we've done with TDDI. And when we take a look at the success we've had in our fiscal Q4, as well as the orders and backlog and bookings we're seeing in fiscal Q1, and actually right into fiscal Q2, we're quite excited about how well we're doing there. And so that's bolstering some of our confidence on fiscal 2017. Rick mentioned the design-in activities on fingerprint. And that's also factoring in. But it's really the success we're seeing on TDDI that's bolstering our confidence. And actually, if you take a look at it year-over-year, our business without the display driver product line from our one large customer is actually increasing year-over-year. So despite the market coming down overall, our core product line, without the display driver product, is actually improving. That's a mixture of things. With the PC market stabilizing and us getting some design-ins on the fingerprint side and the demand patterns we're seeing on TDDI. So it's a combination of all of those things. But that's really bolstering our confidence. I don't know if – Rick might want to add to that a little bit.
Richard A. Bergman - President, Chief Executive Officer & Director: No. No, that's fine. Thank you.
Rajvindra S. Gill - Needham & Company, LLC: Yeah. That was really helpful. And in terms of OLED, what's the competitive landscape in OLED display driver chips? It does appear that the smartphone market is moving towards OLED and – particularly at some of the major customers that you have. So wanted to get a sense in terms of how positioned you are, if there's a transition from LCD to OLED, not only at your major customers or – but also in the broader market? Who else do you – maybe if you could categorize the competitive landscape as we go into next year.
Richard A. Bergman - President, Chief Executive Officer & Director: Sure. No, great question. Because I think there's quite a bit of confusion around what's required in that OLED display driver area. And from our perspective, it leverages many of the strengths, and frankly, a lot of the strengths that came along with our acquisition of RSP a couple of years ago. And at the end of the day, it's still a display driver, and what differentiates us and the high end of the LCD market and why we're the consistent supplier for a number of LCD companies out there, is what our image IP technologies in. I know a number of you've seen our demos at our various trade shows. So whether it's our subpixel rendering, our compression technologies, our color enhancements and so forth, low power technology that we use. All of those directly apply to the OLED market as well. Now there is certain characteristics around the drivers and so on that are unique to OLED, but that's certainly something that we understand. And the reason why we express confidence in the samples that we'll have towards the latter part of this calendar year and why the same partners that we have today in the LCD markets want to work with Synaptics when they bring up their OLED lines and to go forward with major customers. OEM customers also naturally have a preference for Synaptic solutions as well. In terms of the competitive makeup out there, it will be the usual suspects for the same reasons why I said it naturally works for us, we'd expect to see the same guys that we compete with at the higher end of the LCD markets in the OLED market.
Rajvindra S. Gill - Needham & Company, LLC: Okay. And just last question from me, I'll get back to the queue. In terms of the TDDI opportunity, how does adoption of OLED displays either hurt or help the TDDI adoption? If displays are moving towards OLED, how does that impact the integration of the touch control and display driver? Does it make a difference – if it's a different display or there are different requirements?
Richard A. Bergman - President, Chief Executive Officer & Director: Okay. So first, let me broaden my answer to your question because I don't want there to be some misunderstanding again. So we're very excited about the OLED displays in the marketplace, especially, when you start talking about OLED displays. It opens up new form factors for phones, which will spur growth and then ultimately see stuff that we've only seen in the movies around displays on curve displays and transparent displays and all those different things. Given the business we're in, ultimately, that drives the long-term growth for our solutions. So we're thrilled to see that. That being said, there's a reason why there's only one major supplier for small displays in the market today. It's pretty darn hard to do. And it's more costly than mature LCD displays. So we don't think suddenly we're going to wake up in 2018 and every phone is using OLED. And certainly, that's not the only reason why end user is going to buy a phone. If that was the case, then there'd be one major supplier out there of smartphones and we know that's certainly not the case, because there's many characteristics both for the phone and around the display. Now how it works out for TDDI is in some ways it's playing out pretty much how we have described the last couple of years. If you go back and look at the market projections, we showed on Analyst Day, we showed OLED growing pretty aggressively and TDDI filling in that mainstream part of the marketplace. We positioned TDDI from the very beginning to be a mainstream solution. As we look forward into 2017, 2018, indeed, most of the high-end solutions will be OLED-based, and, of course, most of the mainstream solutions then will be LCD-based, which means we have a great suite of TDDI solutions. As we look even further beyond that, will TDDI also apply in the OLED market? Just like initially in the LTPS market, you started out with discrete display drivers and eventually moved to TDDI. I would anticipate the same type of thing in the 2019/2020 timeframe. Exactly how that's going to roll out, it's a little early to project that. And I think everybody in the marketplace is trying to figure out how do we improve yields with OLED displays, how do we increase capacity, that's their primary concern. When then you talk about things that improve supply chain like TDDI, that's kind of will be the next wave like I said a couple years from now. Does that answer your question, Rajvi? I guess so.
Operator: And we'll take our next question from Rob Stone with Cowen & Co.
Robert Stone - Cowen & Co. LLC: Hi. Thanks for taking my question. I had a couple of questions, Rick, on the subject of gross margin. I know you don't guide gross margin or revenues by segment. But, historically, we've understood DDICs to be your lowest margin segment. And you mentioned the mix shift was in that towards even lower end. I'm curious as you think about fiscal 2017, if DDICs are going to be not growing in the context of flattish or maybe even shrinking in the context of flattish total revenue in these other sectors, fingerprints and TDDI are up. Does that imply that you can get to better margins through the course of the year on that mix? And in particular, how should we think about the margin profile for a TDDI chip, which combines historically the higher touch controller margin and the lower DDIC margin? That's my first question.
Richard A. Bergman - President, Chief Executive Officer & Director: Okay. You got a lot of mileage out of that first question. So let me again step back a little bit. So, as Wajid referred to some mix changes within our DDIC family of products. Now there's one customer in particular that we've heard a lot about, how they've had strength in their product line towards the low end. And that has shifted some of our mix fairly significantly, especially, last quarter and as we look into this quarter, which had impacted our margin a tad bit. And that's kind of the primary reason that it's a little bit lower than maybe a few of you expected. As we move through the course of the year, I think it's a little early to project the trends. Certainly TDDI offers opportunities for better differentiation. Doing touch, you work closely with the OEMs and there are certain things that we can do that certain other touch vendors cannot do. I guess, I want to make it clear, Wajid tends to be a little more conservative than I am with his comments. But we're seeing tremendous growth in TDDI year-over-year. So really, we're off to the races now. I know we've been talking about TDDI. And we've been the pioneers in TDDI for five years. So to be honest, it's a big relief now, to say. It's happening. And it's going to be a very material part of our revenue in 2017. And so that being said, of course, it's higher than – the opportunity is certainly going to higher than discrete display drivers in terms of margin. But when you look at the corporate level that may not necessarily be true. So we've said, well, TDDI's going to land between a touch and a display driver device, but somewhere in between. And so that doesn't necessarily mean our corporate average is going to go up. And as we said, we're a little nervous about giving annual guidance, given the dynamics of our market, other than directionally. And the same thing applies for our gross margin perspective. We're not going to give precise numbers around gross margin percentage here for the year other than to say we've given you a business model. And at this juncture, we have typically updated that during our annual financial meeting. And that's where you should think about where we would update it again if we do.
Robert Stone - Cowen & Co. LLC: Okay. I'll try and make the next one easier.
Wajid Ali - Chief Financial Officer & Senior Vice President: Rob, I'm just going to add one comment to that. The one thing that's – year-over-year that's really important to note is that our PC business is stabilizing year-over-year. And our PC business generally has had lower gross margins than the corporate average. So although the DDIC business is coming down year-over-year, and that should be accretive to gross margin percent. With the PC business stabilizing and starting to show some strength, that will also act as a headwind from a gross margin percent standpoint. So that's the only thing I'd to that.
Robert Stone - Cowen & Co. LLC: Thanks, Wajid. That's helpful. The next question, hopefully, is a quick one, Rick, on the under-glass fingerprint sensor. If I remember correctly, in the past, you were expecting the first designs with that technology to shift some time in calendar 2016. Seems like it's now going to be after the end of the year. Is that because it's taking you longer or it has to do with customer-related launch timing?
Richard A. Bergman - President, Chief Executive Officer & Director: Let me separate it into, call it, multiple. The problem with under-glass is it can mean three things. There's under-glass buttons and that continues to march forward. So there's been no delay. There's what's been called cutouts or something of that nature, which is under the cover glass where you – then you take a little bit thin out the glass in one particular area. I would say from an ecosystem perspective, that has slowed down a little bit as it has turned out to be more of a challenge than maybe many in the industry anticipated in terms of cost, yields and overall durability and performance. And then the last piece is, well, what about in display. From the latter one, we're really encouraged as we look forward. I think in the past, I've typified it as being in research. At this juncture, I think we can clearly move it into development, and now, we actually have projects and plans where you'll see that technology. We think everybody agrees it's the ultimate solution in the one-year to two-year timeframe.
Operator: And we'll take our next question from Paul Coster with JPMorgan. Please go ahead.
Paul Coster - JPMorgan Securities LLC: Yeah. Thanks for taking my question. I'm a little confused on the decline in discrete display driver business. On the one hand, I think I heard you say that the low-end of the market is going away first. But, at the same time, you also talked of the upper end of the market going to OLED. Is it kind of like a one, two hit to that discrete driver business or have I misunderstood the comments there?
Richard A. Bergman - President, Chief Executive Officer & Director: Yeah. Paul, let me try it again. There's single-customer, short-term issues and then longer-term trends in the marketplace. So as much as I can say, for certain customers, we've seen a move more towards lower-end devices. I think it's been well-publicized this week, which puts a little margin pressure and ASP pressure on us, because they tend to use a lower end display driver. As we look towards the broader market, certainly, the overall smartphone market is just not – or the high-end smartphone segment is fairly stagnant at this juncture. It's clearly not growing. In that case, we continue to provide certainly display drivers. But that market, of course, is moving to OLED. And we'll provide OLED drivers at the appropriate time into that marketplace. Today, we do not provide OLED drivers.
Paul Coster - JPMorgan Securities LLC: Okay. I understand now. Follow-up question; unrelated, actually. Auto, you've mentioned it a few times in your prepared remarks. It doesn't quite sound like it's going to be the same – well, it's obviously not going to be the same scale. Are we missing something? Are the ASPs higher or are the number of applications brought in the bill going to be higher? Can it ever be a material contributor to your business?
Richard A. Bergman - President, Chief Executive Officer & Director: We certainly see it as an opportunity going forward. It's just a question of time. So I think, as I mentioned, we just have to be patient and we'll continue to update you on our progress. Do we think it can be material? Absolutely. Again, the math for us, Synaptics, it will be 100 million or 100-some-odd-million cars shipped per year and growing over the course of time. And we see half a dozen opportunities per vehicle, whether it's in the instrument cluster or the entertainment cluster, or the back of the seat displays. Fingerprint solutions, which we talked about quite a bit today, where there's also touch solutions as well. So you quickly can get to a pretty sizeable market that tends to have higher ASPs in the consumer market, which tends to have higher gross margins. So from that perspective, yes, it's just going to continue to be a few years. But even today, Paul, we do have – it depends what you mean by material, it's 1% to 2% of our revenue, and it has all those characteristics that I just talked about in terms of ASP and margin. But we clearly want to see it be a bigger part of our revenue going forward.
Paul Coster - JPMorgan Securities LLC: Thank you.
Operator: And we'll take our next question from Charlie Anderson with Dougherty & Company. Please go ahead.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions. Rick, you mentioned that fingerprint was going to be a contributor to growth in fiscal 2017, and you mentioned some of the variables there earlier. As I think about that market, obviously, there's larger number of phones fingerprint could go on, then there is the inevitable ASP declines, and then there's your market share. I wonder, of those three, where the units are going in the market, where ASPs are going, and then your market share, if you could address what you're thinking, to get to the flat outcome for the business, and how fingerprint will contribute?
Richard A. Bergman - President, Chief Executive Officer & Director: I just want to make – you said flat outcome?
Charlie Lowell Anderson - Dougherty & Co. LLC: Flat outcome for the business, but fingerprint growing. What fingerprint has to do to help you to get to flat.
Richard A. Bergman - President, Chief Executive Officer & Director: Okay. Just making sure we didn't miscommunicate there. So no, we see very healthy growth for our fingerprint business. And, to a certain degree, it's a combination of what you mentioned. There's certainly – the attach rate is going up. So that increases the overall unit TAM or opportunity for us. There is ASP pressure as that market opportunity opens up, as it can tend to be mid or lower-end phones. So our OEMs will put a higher factor on price or cost when they're making their decision on a vender or the solution. However, there's some very interesting developments that I was talking about earlier around under-glass or in display that actually provide ASP growth opportunities. So I would say, as a general rule, without going into too much specifics, we're not seeing the ASP decline that potentially we had anticipated because of the richness of our solutions, but couple that with more unit opportunity as well, to get that total healthy growth.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. Then follow-up from me, Wajid, can you talk about any 10% customers in the quarter?
Wajid Ali - Chief Financial Officer & Senior Vice President: Yes. We had three customers that were over 10%.
Charlie Lowell Anderson - Dougherty & Co. LLC: Do you have the percentages offhand?
Wajid Ali - Chief Financial Officer & Senior Vice President: Yes. 10%, 15% and 20%.
Charlie Lowell Anderson - Dougherty & Co. LLC: Perfect. Thanks so much.
Operator: And we'll take our next question from Brett Simpson with Arete. Please go ahead.
Brett Simpson - Arete Research Services LLP: Yeah. Thanks very much. Rick, I had a question for you on OLED. So when you talk about shipping OLED in 12 months, 18 months, will you be shipping 2K resolution for mobile? And just as a follow-up, how confident are you that you can retain your largest customer and your existing LCD DDI business as they transition to OLED? And do you think you need to make any acquisitions to realize your plans in OLED? Thank you.
Richard A. Bergman - President, Chief Executive Officer & Director: All right, Brett. Let me answer these questions as much as I can. So fundamental, we're not going to answer – or we're not going to announce our product or the specific devices that we're working on, other than to say we're going to target more, call it, the premium part of the market that has (47:42) a lot of volume on OLED. And so whether it's 2K resolution, or WQHD, or that type of thing, I'm not going to say at this point. So, are we going to comment about our opportunities at a specific customer? Way too early to talk about that, nor do we generally disclose that until there's a tear-down in the marketplace. Do we need to do an acquisition for the capabilities? No. As I said, we feel very confident. The leverage between what we do on LCDs and OLED is very high. We believe we have the best development team from the RSP acquisition, now supplemented with a bunch of designers in Taiwan and here in San Jose. And our display partners also believe that. And that's why they're engaging with us to work with us on – to bring up their very first OLED displays. Because what we really bring, and if you look at the LCD market, a lot of the IP technology around image quality and so forth that I talked about earlier is well understood, because these panels now – or this technology is 10 years. As they bring up OLED, they want to work with the expert in image quality. And that is Synaptics in the marketplace. So it certainly gives us the opportunity to work with our display and OEM partners around the world.
Operator: And we'll take our next question from Ambrish Srivastava. Please go ahead.
Ting Pong Gabriel Ho - BMO Capital Markets (United States): Hi. This is Gabriel Ho calling in for Ambrish. Thanks for taking my question. I would like to dive deeper into your fiscal 2017 expectation of maybe a flattish revenue. So what is your assumption in terms of the growth drivers in absolute dollars between your fingerprint sensor and your TDDI?
Richard A. Bergman - President, Chief Executive Officer & Director: Well, as we articulated, TDDI is going to have one of those huge growth percentages. Relatively small base, although we had – as we talked about in our prepared remarks, we had a pretty good Q4 on TDDI. So as I said, the ramp finally has occurred. And we're thrilled about that. But with a full year and a lot more design wins and a lot more parts rolling to production, very, very strong growth. In fact, I couldn't really typify it as double-digit growth, because it's actually triple-digit growth. So as we look at fingerprints, again, we're planning – or believe we have a line of sight to very strong growth year-over-year. Some of it is with our existing customers. For example, the PC business is one example. Attach rates are going up there as well. We don't typically talk about that a lot. But we have very high share in the PC business. And consumers now use fingerprints on their phones. Of course, they want it on their laptops as well. And so nice attach rate and ASP increases there as existing business also moves from swipe to area. And then, new customers in China is only going to add to our revenue. And new solutions, as I mentioned on a earlier question, that give us new ASP opportunities as well. So unfortunately, we're not going to break down each of our sub-businesses in terms of growth rates, but try to give you the best color on where we see the major drivers of our growth. And not surprisingly, it's a few growth drivers that we've been talking about for a couple years now.
Ting Pong Gabriel Ho - BMO Capital Markets (United States): Thanks. And as a follow-up, on your display driver business, the discrete display, I'm referring to. And for the decline – I mean, you expect it to decline, but how much of it is due to the units? Or it could be the pricing? Or maybe some share loss potentially?
Wajid Ali - Chief Financial Officer & Senior Vice President: So, Gabriel, it's not due to share loss. The year-over-year decline in the discrete display driver business has really to do with two things. One is, is that there is lower end customer demand. And I think that the lower end customer demand has been pretty well publicized. So I don't think I need to get into that anymore. And then the second thing is a shift in product mix. So whereas in fiscal year 2016 at least for the first three quarters, we were primarily supplying higher end display driver products in Q4. Fiscal 2016, we started seeing strong demand for lower end solutions and lower end display drivers for that customer. And we see that continuing throughout our fiscal year. And so with lower end solutions, you have lower ASPs and lower gross margins. And so when you multiply that out by millions of units that can have a material effect on your year-on-year revenue. So really those are the two things. We haven't had any market share loss with that customer.
Operator: And we'll take our next question from Jagadish Iyer with Redstone. Please go ahead.
Jagadish K. Iyer - Summit Redstone Partners LLC: Yeah. Thanks so much for taking my question. Two questions. Firstly on, Rick, one of your European competitors recently articulated that their market share would be at their high end of their initial targeted range. So I just wanted to understand where do you see the opportunity for biometrics over the next 12 months and where can we hear more socket wins possible for you? And then I have a follow-up.
Richard A. Bergman - President, Chief Executive Officer & Director: Sure. So, I guess, I can't really comment on what our competitors say. We have some colorful ones out there. So I worry about our business and our opportunities, I kind of talk through that. We're definitely bringing on new customers. You've heard TCL and ASUS over the last 30-or-so days and we expect through the course of the calendar year to continue to announce new ones. Some high volume solutions. And then, our existing customers, there are some opportunities to increase ASP as well as grab – as they move into mainstream and lower end solutions, grab those opportunities as well. So there's, call it, not one driving factor. There's multiple factors there moving forward. And that will allow our business to grow at a nice healthy clip versus fiscal 2016.
Jagadish K. Iyer - Summit Redstone Partners LLC: Just to dive on the OLED side, I wanted to understand are there really customers right now who are doing TDDI on an OLED situation at this point of time? We don't have anybody at this point of time and when do you think that the market is ready for that, in your opinion?
Richard A. Bergman - President, Chief Executive Officer & Director: Yes. I so much touched on it in an earlier question. Many vendors are ramping up – I think actually every vendor is ramping up production from prior volume levels, which in many cases in zero to higher volume levels in the future. And so their focus at this juncture is to not change too many variables at once. And so use discrete display drivers for the short term, work on the yields, work on the quality issues that potentially they could have, imaging, those type of areas. And then let's think about how we could do display integration solutions like TDDI, or In-Cell, and so on. We're having very early discussions on those. But we're aligned with them. But let's get that initial production up and running or increasing the production that they already have. So it's hard to put exact timing on when the transition to other solutions may occur. But, as you heard, I said more in 2019/2020 timeframe.
Operator: And we'll take our last call from Osten Bernardez with Cross Research. Please go ahead.
Osten H. Bernardez - Cross Research LLC: Yes. Good afternoon. Thanks for taking my questions. To begin, I guess, I was just wondering if you could perhaps add a little bit more color on the OLED question and I was just wondering whether you anticipate your early shipments of OLED DDICs potentially coming from customers in China, Japan, or Korea. Can you give any color to that?
Richard A. Bergman - President, Chief Executive Officer & Director: It's kind of as broadly as I can. The advantage that we have and one of the key reasons for the RSP acquisition a couple years ago was to give us a major international presence and worldwide scale. And from that perspective, I think we are unmatched. We have a very substantial team in Japan. We have a substantial team in Taiwan. I mentioned the U.S. team. And also, we work very closely with the Korean vendors as well. So the one we can talk about, of course, is we have the preferred touch solution for OLED panels out there in the marketplace today. And that gives us a lot of intelligence and feeling in terms of that technology there. So okay. There's Korea. You can imagine with a large display team in Japan. We're probably working with the Japanese. And there's a reason we put a large display team in Taiwan and so we'll be working with display manufacturers in China and Taiwan. Given our scale in this business, we pretty much have to work with those – depending on how you count it – three or four major geographic areas. It's tough to exclude one. And that's the advantage that Synaptics brings. We're really the only vendor that brings that type of capability to work with display manufacturers across these geographies. And that's why OEMs, when I talk about OEMs, branded OEMs at the smartphone level like to work with Synaptics because of that scale and reach.
Osten H. Bernardez - Cross Research LLC: Thank you. And then, lastly for me. Can you remind me sort of how – with respect to TDDI, how do you envision – I know it's early, but I'm just trying to get a sense – your share playing out with TDDI when you think of that market, TDDI penetration reaching 50%, let's say, by 2019, can Synaptics still hold at least 50% share in that space by then or how are you thinking about that?
Richard A. Bergman - President, Chief Executive Officer & Director: Your leading assumption was correct. It's early to make projections out that far. So obviously, being a first mover gives us a nice advantage. And over the next few quarters, certainly, we'll be able to hold majority share. Realistically, though, as we look forward, I don't think anyone has ever been able to hold majority share in any technology class in the display driver business. And so our share will invariably move lower. Is it 30%, 20%? I can't really tell you at this juncture. And a lot of it's to be determined. We have to continue to innovate, bring new value, bring new lower-cost solutions, all those different things, to hold the share in the leadership position. But that's certainly what we want to do as a company to be the leading TDDI vendor.
Operator: We have no further questions at this time. I will now turn the program back over to our presenters for any additional or closing remarks.
Richard A. Bergman - President, Chief Executive Officer & Director: Okay. This is Rick Bergman again. Thank you for joining us on the call today. It was a pleasure getting all those great questions. We look forward to updating you through the quarter or certainly at the next call in October. Thank you.
Operator: This concludes today's program. Thank you for your participation. You may now disconnect.